Operator: Ladies and gentlemen, thank you for standing by, and welcome to the SunCoke Energy, Inc. Q3 2020 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to Mr. Shantanu Agrawal. Please begin.
Shantanu Agrawal: Hello. Good morning, and thank you for joining us to discuss SunCoke Energy's third quarter 2020 earnings. With me today are Mike Rippey, President and Chief Executive Officer; and Fay West, Senior Vice President and Chief Financial Officer. Following management's prepared remarks, we'll open the call for Q&A. This conference call is being webcast live on the Investor Relations section of our website, and a replay will be available later today. If we don't get to your questions on the call today, please feel free to reach out to our Investor Relations team. Before I turn things over to Mike, let me remind you that the various remarks we make on today's call regarding future expectations constitute forward-looking statements. The cautionary language regarding forward-looking statements in our SEC filings apply to the remarks we make today. These documents are available on our website, as our reconciliations to non-GAAP financial measures discussed on today's call. With that, I'll now turn things over to Mike.
Michael Rippey: Thanks, Shantanu. Good morning, and thank you all for joining us today. Let me start with an update on our ongoing response to the COVID-19 pandemic. We continue to take all necessary measures to ensure the health and safety of our workforce and have implemented policies and procedures that follow the guidelines established by the CDC, OSHA, and local health and governmental authorities to protect our workforce and contractors. Our COVID-19 task force continually monitors and evaluates the evolving situation and responds and adjusts as the environment develops. Turning to our third quarter performance. Cokemaking operations performed well despite operating at turndown levels. All of our facilities demonstrated excellent cost discipline and delivered results in line with our expectations despite the challenging macro environment. Another significant achievement for SunCoke during the quarter was the extension of the Haverhill II contract with AK Steel for an additional two years. That contract now expires on June 30, 2025. This extension further illustrates the strength and long-term nature of our relationships with our customers. During our previous quarter's earnings call, we announced that SunCoke would enter the foundry coke market. The testing, development and capital deployment activities necessary for profitable foundry coke market production are going well, and we are excited to enter this new market with a high-quality product. We have tested our foundry coke in Cupolas with a number of potential customers, and the results have been very encouraging. We are now well positioned to profitably enter the foundry coke market in 2021. We continue to execute on our revised 2020 objectives and are well positioned to achieve our full year adjusted EBITDA guidance. With that, I'll turn it over to Fay to review our third quarter earnings in detail. Fay?
Fay West: Thanks, Mike, and good morning, everyone. Moving on to third quarter performance. As you could see on Slide 4, diluted EPS was a loss of $0.03 per share in the third quarter of 2020 compared to a loss of $1.81 per share in the third quarter of 2019. The prior year period included $1.94 per share impairment charge related to our logistics goodwill and long-lived assets at CMT. Excluding this noncash charge, EPS was down quarter-over-quarter by $0.16, mainly due to lower volumes across the segments. Looking at adjusted EBITDA, this came in at $47.8 million in the third quarter of 2020 versus $66.7 million in the third quarter of 2019. Adjusted EBITDA from the coke operations decreased $11.8 million compared to the prior year period. Domestic sales volumes were approximately 190,000 tons lower than the prior year due to customer turndowns. The volume shortfall was partially offset by lower operating costs. Adjusted EBITDA from the Logistics segment decreased by $5.3 million versus third quarter of 2019. The throughput volumes at CMT and the domestic terminals were lower by approximately 1.4 million tons versus the prior year. Slide 5 bridges the third quarter 2019 adjusted EBITDA to the third quarter 2020 adjusted EBITDA. As we discussed on our second quarter conference call, in response to a challenging and unprecedented environment, we partnered with our coke customers to address their near-term coke needs. In exchange for the extension of several coke contracts, we agreed to reduce our coke production in 2020 by approximately 550,000 tons. Substantially all of this reduction will occur in the third and fourth quarters of 2020. This volume decrease contributed to lower adjusted EBITDA from coke operations in the third quarter of 2020 as compared to the prior year. Strong cost control partially offset the impact of these lower volumes. The logistics operations were $5.3 million lower quarter-over-quarter due to lower volumes and lower pricing, which was again offset by lower operating costs. Corporate expenses in the quarter includes foundry-related research and development costs of approximately $1 million. And we're also impacted by period-over-period mark-to-market adjustments in deferred compensation, driven by changes in the company's share price. Slide 6 details the Domestic Coke operating performance. We sold 868,000 tons of coke in the quarter. Sales volumes for all facilities were impacted by the volume relief provided to our customers. Q3 2020 adjusted EBITDA per ton was approximately $56 per ton compared to $57 per ton in Q3 of 2019. The decrease in adjusted EBITDA per ton was due to lower sales volume but was largely offset by favorable cost recovery and strong cost management. Our plants have been diligent in lowering costs where possible by managing supplies and services, overtime, contractor usage, postponing capital work and various other efforts. Moving to Slide 7. Logistics adjusted EBITDA was $4.3 million in Q3 of 2020 versus $9.6 million in Q3 of 2019. CMT contributed $1.7 million to Q3 2020 adjusted EBITDA as compared to $7.4 million in Q3 2019 on comparable volume. The deterioration of adjusted EBITDA at CMT is due largely to lower pricing. The domestic terminals handled approximately 2.2 million tons in Q3 of 2020 versus 3.4 million tons in Q3 of 2019. The lower volumes at domestic logistics terminals were more than offset by the measures taken to reduce costs, including a meaningful workforce reduction. Moving on to the next slide. You could see on the chart that our cash balance at the end of the quarter was $86 million. In the quarter, cash flow from operations generated $74.5 million, and we had CapEx of $16.5 million. We paid down a portion of the revolver borrowing as working capital charges were a source of cash this quarter. We expect working capital to reverse in the fourth quarter as we build coal inventories going into the winter and as we prepare for an increase in production for 2021. Additionally, we paid a $0.06 per share dividend in the quarter, which was a use of cash of $5 million and today, announced the declaration of the third quarter dividend. We established the dividend at a rate that we believe is sustainable even during challenging market conditions. And while this is a decision made quarterly by our Board of Directors, we believe we have ample liquidity to maintain this dividend. At the end of the quarter, on an LTM basis, our gross leverage was 3.37 times, and our net leverage was 2.98 times. We intend to continue executing on our long-term capital allocation priorities with the primary focus on reducing gross leverage to three times or lower. To that end, we repurchased $7.5 million face value of SXCP notes in the third quarter and an additional $33.2 million here in Q4. With that, I will turn it back to Mike.
Michael Rippey: Thank you, Fay. Wrapping up on Slide 9. As we continue to operate during these extraordinary times, our first priority continues to be the safety and well-being of our employees and contractors. We will continue to do everything possible to ensure that they are well-positioned, are well-protected and able to perform their jobs with confidence. We remain focused on our core businesses and how to best-optimize our operations, including our logistics assets. As we announced in the previous quarter, we have made significant progress in reducing our cost structure and adding near-term stability by working collaboratively with our customers to address both current market challenges and longer-term supply requirements. We also continue to maintain our asset base to ensure that we are able to operate efficiently in the long term, even as operating levels may fluctuate in the near term. We are proud of the investments we have made, creating the highest quality assets in the industry, which we are committed to fully utilizing and maintaining. Finally, we are confident in the revised financial targets we have put forward and our entire organization is focused on achieving these results. Before we end our prepared remarks, I would like to take the opportunity to again thank all of our employees, contractors and suppliers who are working diligently during these difficult times to ensure our business continues to perform well. With that, we can open up for Q&A.
Operator: [Operator Instructions] Your first question today comes from the line of Matthew Fields with BofA. Please proceed with our question.
Matthew Fields: Hey, everyone. I just want to ask - I know you're not giving 2021 guidance yet, but given the helpful information you've given on the contract renewals, I just want to kind of go over some of the puts and takes for 2021 to see if we can sort of get to the right direction. So based on the new - and I'm going to talk about ArcelorMittal and AK Steel as different companies, even though we all know they're now kind of under one umbrella. But for the MG&A contract in 2021, it seems like it's going to be down 300,000 tons compared to 2020 and then in 2022, down another 400,000 tons. Is that right? The way to think about it?
Fay West: So Matt, just to level set - for ArcelorMittal between our Jewell and our Haverhill facility, in 2021, we will provide to our customer 800,000 tons. That's on a combined basis, okay?
Matthew Fields: Right.
Shantanu Agrawal: This is Shantanu. And that's 450,000 tons lower than what we would like or the previous contract was in 2021.
Matthew Fields: Okay. And then 400,000 tons is the supply amount in 2022 through 2025, right?
Fay West: That's correct. And once again, that's on a combined basis.
Matthew Fields: Okay. And then for Haverhill II, the AK contract, is it correct that 125,000 tons come back in 2021 after being taken out in 2020?
Fay West: That's correct. We'll be at full run rate production at Haverhill II for AK starting back in 2021 and that is the contract that was extended to June of 2025.
Matthew Fields: Okay, great. And then the Middletown contract down 75,000 tons, is that already reflected in 2020? So there's no change from 2020 to 2021 at Middletown?
Fay West: So in 2020, in our guidance and our revised production numbers where we said we were going to decrease production by 550,000 tons, that included the reduction in Middletown. Beginning in January of 2021, they will be back at full run rate production.
Matthew Fields: Okay. So Middletown in 2021 should be plus 75,000 tons over 2020?
Fay West: Correct.
Matthew Fields: Okay, great. You talked about the foundry coke opportunity. I don't know if it's too early or some of the R&D you've done, but can you give us any sort of scope on kind of margins that you could think about for foundry coke and what kind of economic benefit you could see from that new expansion? And then will it be a new segment? Will that be a new segment or…
Michael Rippey: No. It's simply a product. It's a new product for our company. And as we indicated on the last call, we're making an investment into this product category, and we expect it to be a profitable investment. And everything that we've learned to date through all of our development efforts and through now, our outreach into the foundry coke market, the success we've had with the Cupola operators, we very much expect that, that will in fact, be the case. So we look forward to profitably entering this market next year.
Matthew Fields: Okay. But too early to tell kind of what kind of margins we could be looking at?
Michael Rippey: We're not going to discuss specific profitability for different products in different markets.
Matthew Fields: Okay. And then you've talked in the past about sort of efforts to move to more types of products out of the marine terminal aggregates, anything else? Can you have those efforts kind of taking a back seat to maybe the foundry coke to other options? I know that contract renegotiations have been busy. But is there any update to the logistics efforts to kind of expand the products that were getting shipped out of the terminal?
Michael Rippey: No, no. There are activities we pursue with great vigor, independent of one another. The folks that are working on a repositioning CMT are not the people that are putting us into the foundry market with their excellent effort. So our CMT has been a bit of a slug for a long, long time. CMT was fully dedicated on a long-term contractual basis to a few customers. So there really wasn't much opportunity to move into new markets. And now as we find ourselves by having to reposition that asset, the macroeconomic environment in which we're looking to compete is, as you well know very challenged. So it's a challenge for the team. We've had some minor success, but offsetting well-established supply chains during a period of significant economic weakness is now without a lot of challenge. But notwithstanding the challenge, we continue to be out there fighting every day to find new opportunities for CMT.
Matthew Fields: Okay. That's a fair point. I appreciate that. I appreciate the comments on working capital in the fourth quarter, and I think that kind of dovetails with the free cash flow guidance, which implies you'll burn about $15 million to $30 million in the fourth quarter. One, is that the right sort of directional amount there? And two, do you anticipate having to redrop [ph] borrowings on the revolver in the fourth quarter?
Fay West: Yes, Matt. So I think if you just look at where we are on a free cash flow basis on a year-to-date through the first three quarters, we're at roughly $70 million of free cash flow, right? Our guidance, when we revised our EBITDA, we, of course, revised our free cash flow guidance as well is in a range of $36 million to $56 million. So there will be a burn in the fourth quarter. We will likely draw on our revolver again, but we are very closely monitoring our cash balances, our revolver draws to ensure that we're as efficient as possible. But we will be building inventories like we normally do in the fourth quarter because you want to make sure you have the adequate supply because you don't want to be caught off guard by weather conditions. And then two, as you start ramping back up at the facilities, you need to have more coal on hand. So there will be a bit of a draw in the fourth quarter. But we're still within our guidance that we provided of $36 million to $56 million for free cash flow on a full year basis.
Matthew Fields: Okay. That's really helpful. And then last one for me. I appreciate your consistent message about three times sort of gross leverage target. Does that imply that whatever the sort of 2021 financials are going to be that we're going to continue to pay down dollar amounts of debt through '21 to kind of get to that target?
Fay West: Yes. I mean, as I indicated in my prepared remarks, that is our - as we laid out our capital allocation priorities, that is our primary priority. And we've been pretty successful in paying down debt this year of close to $53 million when you take into consideration what we paid here in Q4. There's no reason to believe that our capital allocation priorities will change in 2021. And so we're targeting three times in order to get to that three times level, we're going to need to be paying down debt.
Matthew Fields: Okay. And then the choice of revolver versus bonds, is that kind of a function of the trading liquidity of the issue and the price in the market that you can get open market purchases for? Or just give us a trade-off between going after those 7.5, the discount versus revolver at par here?
Fay West: So we try to be as opportunistic as possible. And of course, we're evaluating what the trading price is. We were able to repurchase that debt this year on average at $0.87 on the dollar. So I think, of course, those are all factors that we take into consideration as we evaluate paying down the revolver or repurchasing debt.
Operator: Our next question comes from the line of Nick Jarmoszuk with Stifel. Your line is open.
Nicholas Jarmoszuk: I wanted to get your thoughts on - with your customers generally looking to lower their carbon footprint. Can you talk about how you position yourself as a coke supplier versus your customers sourcing coke from some of their some of the grandfathered coke batteries and how you position yourself as being the low-carbon alternative?
Michael Rippey: Nick, it's a good question. As many are well aware, our technology and our fleet is the newest and most modern set of coke batteries in the United States and for that matter, Canada as well, utilizing what has been determined to be the MAT standard, maximum achievable technology standard with regard to emissions. So not only are we the newest batteries in the U.S. and Canadian markets, but we're also environmentally the most friendly. And of course, as people and as they should and need to look to reduce their environmental footprint, our coke plays very well into that kind of thinking.
Nicholas Jarmoszuk: So in terms of discussions with your customers, have they indicated how they think about their coke facilities? And what sort of lifespan they were expecting to put on to a coke battery that was commissioned in the 1950s or so?
Michael Rippey: Nick, we don't discuss our ongoing dialogue with our customers. As we have been able to indicate this year, we were able to extend meaningfully our contracts with both ArcelorMittal and AK, but the specifics of those discussions we don't discuss. But we're in regular dialogue with our customers.
Operator: Your next question comes from the line of Mark Levin with Benchmark. Your line is open.
Mark Levin: I think most of my questions have already been asked, but maybe I'll try another one. My memory may be failing me here. But Fay, is there a minimum liquidity number that you target, something that you're comfortable with and as you try to manage paying down debt, that's where you'd like that number to be on an ongoing basis?
Fay West: Yes. And so we have ample liquidity between our cash balance and our ability to draw on our revolver, which is a $400 million revolver. So I think we're well positioned from a liquidity perspective. We've historically said that we think we'd like to be around $75 million of cash, and that's on our balance sheet. And that's because of the way that our payments come in our customers' versus the way that we have to spend cash in order to procure coal and other things like that. We're evaluating that as we evaluate everything on and looking at what that minimum cash balance is. As a more simplified structure, we may be able to reduce that a bit more going forward. And we've been very actively managing our revolver borrowings since we've simplified. And so there's an opportunity to actually reduce that slightly for our company. But we're very well positioned from a liquidity perspective, Mark.
Mark Levin: Got it. And then my second question has to do with buybacks. I mean, obviously, it would appear and correctly so, in my opinion, that the first priority is deleveraging and looking at those 2025s. But I'm just curious, just given the free cash flow yield on the stock, which is pretty enormous, and we are hopefully coming out of the pandemic at some point, is there some thought to allocating at least some portion of excess cash to buying back stock as well?
Michael Rippey: Our current thinking is, as they indicated, to continue to pay our common dividend that we've established.
Mark Levin: Okay. So the inference there is that the buybacks are probably further well off the footprint right now. But final question, Mike, for you. Just more of a big picture question. As the U.S. blast furnace steel industry is consolidated or continues to consolidate, how will that or how do you expect that to impact SunCoke going forward? Does it change the way you think about the business and managing risk? Just sort of your general thoughts on what's going on and how it affects you guys?
Michael Rippey: Well, it's obviously quite early and really premature to speculate the question. Perhaps it's a good question. It's an excellent question, but better directed to our customers. But clearly, the market seems to appreciate and like the consolidation that's taking place between AM and AK. We, of course, benefit when our customers are stronger. So we applaud anything that's a net positive for our customers and our markets, the blast furnace supplied market. We have had historically good relationships with both AM and AK, and we look forward to continuing with those good relationships. There's a mutuality here. We, of course, need our customers. All companies need customers. And we expect that our relationships will continue in the good positive way they have where our customers appreciate the need for high-quality coke supply at a good cost.
Mark Levin: I appreciate that. One final question, goes back to the logistics segment. I know you guys have been working hard to diversify, particularly as the export coal business has come under pressure. Mike, are you optimistic in 2021? I realize we're sitting here in the middle of a pandemic, and it's difficult to get much done commercially. But just generally speaking, are you optimistic that we'll see some positive - some contract settlement, something on the logistics side in 2021?
Michael Rippey: We're not providing 2021 guidance here today. And you phrase the question properly, it's almost impossible to predict day-to-day where markets might be. I'm modestly encouraged that more recently with higher natural gas prices in Europe, there's greater thermal coal demand. And we factored that into our revised forecast for the balance of this year, and we'll hope that, that continues into next year. But it would be simply too early to speculate at this point.
Mark Levin: Yes. Just beyond coal and some of the other commodities that you guys have targeted, I mean, are you feeling more confident that you might be able to get some new business in 2021 on the logistics side? Again, very general, not asking for guidance.
Michael Rippey: It's just premature, and we'll provide an update. But generally speaking, I think the environment is showing modest improvement as we enter 2021. Hopefully, some of our efforts in an improving environment can pay off.
Mark Levin: Great. Okay, thank you, guys, for all the time.
Michael Rippey: Thank you
Operator: [Operator Instructions] Your next question comes from the line of Lucas Pipes with B. Riley Securities. Please proceed with your question.
Lucas Pipes: He, good morning, everyone.
Lucas Pipes: Good morning, Lucas.
Lucas Pipes: Take a different approach to - I think it was Matt's first question on 2021 volumes. Obviously, some puts and takes there, as you discussed. But when you tally up all the minimums for blast furnace coke, where does this put you in 2021? And then obviously, we have the guidance for 2020, so it would be interesting to just ask this more pointedly.
Michael Rippey: Well, again, we're not discussing the specifics of '21. We'll do that when we release the fourth quarter. We're entering the foundry market, as we've discussed. We expect to do so successfully. And we look at every opportunity to have our facilities run full next year. And that includes, as we have in the past, looking for export market opportunities. But we'll advise as to all that when we provide guidance with our fourth quarter results.
Lucas Pipes: And sorry, that would be export opportunities for coke, correct?
Michael Rippey: Correct.
Lucas Pipes: What export markets are kind of most attractive at this time? And what sort of volumes historically has the U.S. been able to export?
Michael Rippey: We've modestly exported in the past. There's opportunities today in both Europe and Asia, particularly India.
Lucas Pipes: Any sense for what volume - are we talking tens of thousands of tons or potentially hundreds of thousands of tons?
Michael Rippey: We'll provide that in our 2021 guidance.
Lucas Pipes: But the goal is to be fully ramped, if I heard you correct.
Michael Rippey: That is 100% correct, Lucas.
Lucas Pipes: That's very helpful. And kind of dovetailing on this prior question. Obviously, steel utilization rates have been increasing quite nicely. And do you have a sense for kind of what - to what level steel utilization rates would have to rebound for there to be upside to your volumes in 2021 versus 2020?
Michael Rippey: We like to see the U.S. markets operating in excess of 80% of capacity. And while there's been good recovery, actually quite good recovery from a low, I think, of 51% of capacity earlier this year to now at the level of 70%, we still have a ways to go before we can expect to see operating rates on a sustained basis above 80%. And most of the end-use markets are recovering quite nicely. Energy sits out there as a concern in terms of end-use markets. The offset to a prolonged extension of the downturn energy would be if we could simply pass an infrastructure bill, which our country desperately needs. And the infrastructure spending has been lacking and it's well past time. As we all travel the highways and roadways in the United States, it's abundantly clear and technical societies, civil engineers, radar infrastructure to B minus. So it's time for Washington to get to work, come together and pass the bill. And that would help demand in the years ahead.
Lucas Pipes: Completely agree with everything you said there. Mike, one more for me just to kind of maybe tie my first and second question together. In order for you to fully utilize your coke capacity, do you need to be back - does the U.S. steel capacity utilization have be back at 80%? Or would you say, given your entries into the foundry coke market, exports, et cetera, that even at a, call it, 70% current steel capacity utilization rate, you'd be able to ramp back up to full utilization rates at your furnaces?
Michael Rippey: Yes. It's a good question, Lucas. And again, we expect to run full next year even though we don't currently anticipate domestic operating rates being on a sustained basis above 80% right now.
Lucas Pipes: Great, very helpful. Mike and team, continued best of luck. I appreciate it.
Michael Rippey: Thanks, Lucas.
Fay West: Thanks, Lucas
Operator: Your next question comes from the line of Matthew Sandschafer with Mesirow Financial. Please proceed with your question.
Matthew Sandschafer: Good morning, everybody. I wanted to just ask briefly about the guidance. You are guiding for $190 million to $200 million of adjusted EBITDA for the year. You are at $169 million year-to-date, which implies the midpoint of the guidance, EBITDA dropping by about 50% in the fourth quarter. Is there - and the data works out similarly for the adjusted EBITDA per ton calculation and guidance. Is there something significant happening in the fourth quarter that should be substantially different from the third in terms of operating performance?
Michael Rippey: Yes.
Fay West: I'm sorry. Go ahead, Mike.
Michael Rippey: No. Matthew, we said we're well-positioned to achieve that revised guidance of $190 million to $200 million. And you touched on it a little bit. The operating plans and actions for the company change quarter-over-quarter. Fourth-quarter is typically a weaker quarter. We've got a lot of outage work. And third quarter is typically a stronger quarter in the absence of outage work. And this year, of course, with the pandemic and all the disruptive nature of our turn-downs, makes that even more so. So there is an occasion where we expect now and plan to do more work, more maintenance work in the fourth and third. So you have that phenomenon taking place. It's really not totally unusual, but we will be doing work on a planned basis that way.
Matthew Sandschafer: I understand the step-down last year was about $15 million from 3Q to 4Q and now you're talking about like $20 or $25. Is the outage work that much more dramatic than it was last year?
Fay West: So the outages are different year-over-year, depending on what needs to be done. And so we have outages at 2 of our facilities, one of which is we characterize as major. As Mike mentioned as well, we're also bringing forward some of just regular kind of maintenance expenses and maintenance work that we're going to take advantage of the outage and the time that it's down. The other thing that should be noted, too, so you've got - the scope is different in Q4 of 2020 versus 2019. We mentioned that we're going to have a reduction on a full year basis of 550,000 tons of production. Most of that is going to be in the second half of the year. We saw that come through here in the third quarter. The impact at Jewell specifically will be greater in the fourth quarter than it is in the third quarter. So when you couple the increase in costs related to outages, the increases in maintenance costs, add kind of the reduced production and the impact at Jewell that is large - that is greater in the fourth quarter than in the third quarter as well as some incremental expenses that we know were going to occur in the fourth quarter to be prepared to run full out starting January 1, 2021, you have a drop in the fourth quarter EBITDA.
Matthew Sandschafer: Okay. I guess, one other way to try to phrase this, is there - is the third quarter performance, given at least the contracts call for lower volume next year and the third quarter was the first quarter where we really saw lower volume, is the third quarter cost and EBITDA performance sustainable at these level of volumes more or less over the long term, knowing that we'll see some quarterly fluctuations? Or should I expect the EBITDA per ton number to fall substantially even beyond the fourth quarter? You understand the question. I know you guys did some stuff on the cost side here in 3Q. I'm just trying to figure out if it was short term and heroic or if it was sustainable over a longer period.
Fay West: So a couple of things. One, we give guidance on EBITDA and EBITDA per ton on a full year basis and we do it on a full year basis because there's quarterly variability because of outage schedules and the timing of maintenance work as well as the timing of capital work and so on and so forth. That's why we give it on a full year basis. And we were at $56 to $57 adjusted EBITDA per ton on a full year basis was our guidance. We came in at $56 per ton here in the third quarter. We're very pleased with the performance. The cost reductions that we made here in 2020, while I say were heroic, many of those are going - you're going to continue to see play out in the future. We talked about it at the second quarter, a reduction on a full year basis of $10 million of cost. That's pretty meaningful to our company of our size. They're not onetime. We're going to have sustained cost savings going into the future. I think those things, hopefully, will give you some additional insight as to the way that we're looking at our cost structure as well as kind of EBITDA.
Operator: There are no further questions in queue at this time. I turn the call back to Mr. Rippey for any closing remarks.
Michael Rippey: Okay. Again, thank you all for joining us on the call this morning and, of course, your continued interest in SunCoke. Look forward to talking to you again as we close the year and provide some insight into the balance of the year and 2021 during the next call. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.